Operator: Good morning. And welcome to the Restaurant Brands International Second Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. . Please note, this event is being recorded. I would now like to turn the conference over to Stephen Lichtner, RBI's Head of Investor Relations. Please go ahead.
Stephen Lichtner: Thank you, operator. Good morning, everyone. And welcome to Restaurant Brands International's earnings call for the second quarter ended June 30, 2021. As a reminder, a live broadcast of this call maybe accessed through the Investor Relations webpage at investor.rbi.com and a recording will be available for replay.
José Cil: Good morning everyone. Thank you for joining us on today's call. I hope everyone is doing well. We are pleased with the results this quarter and the progress we have made on several key initiatives including driving development, improving system-wide sales growth and enhancing our digital platforms. Our franchisees, teams and our restaurant teams members continue to amaze us with the incredible work they are doing and their dedication to our brands and our guests. We remain confident in the strength of our long term value proposition anchored by our guest centric focus, three iconic brands, scalable franchise model, growing digital channels, commitment to innovation and relentless pursuit of maximizing value for all stakeholders. We have a strong track record of driving growth and our prospects looking forward to bright as we advance in our path to 40,000 digitally integrated restaurants, our scale, our growing digital business and our agility expands our capabilities, deepens the strength of our brands and positions us well for exciting compounding growth in the years to come. And even with investments in digital and across the business, we remain highly cashflow generative, a testament to the strength of our business model, which has enabled us to consistently return significant capital to shareholders over the past years. In connection with this and given our increased confidence in the outlook of the business, we announced that our board of directors authorized a new significantly expanded share buyback program of our common stock for up to $1 billion over the next two years. We also paid a $0.53 quarterly dividend on July 7 resulting in one of the highest dividend yields in our industry and our board of directors declared a dividend for the third quarter of $0.53 to be paid in October.
Josh Kobza: Thanks, José, and good morning, everyone. During the second quarter, we continue to invest in technology that is core to modernizing and improving our guest experience as well as contributing to incremental sales and traffic for our brands. We benefit from our significant global scale which allows us to build industry leading technology platforms at a competitive cost profile and helps us to attract and retain top talent. Our tech stack consisting mostly of in-house development that is supplemented by third party vendors facilitates great guest experiences, while generating rich data that provides us with insights to drive decision making across our brands and geographies. Developing these in-house capabilities in areas like e-commerce, for example, will significantly improve our operational execution, removing friction when new enhancements are developed, while allowing us to remain efficient by outsourcing elements that are not core or unique to our brands. We learned a lot over the past few years about the importance of digital and crafting a superior experience, and the importance and loyalty of our digital guests, who are generally more engaged, come more often and spend more on our products. We continue to see evidence of many of these dynamics as we grow the digital channels across all three of our brands. This quarter, we reached new records of digital sales in our home markets, despite wide consumer migration back towards in store dining and select regions. In the aggregate, our home market digital sales increased nearly 60% from this time last year with Tim's nearly doubling in both Burger King and Popeye's growing roughly 20%. We see a significant opportunity to grow these channels over time, and a few key initiatives including our loyalty programs, in app engagement opportunities like roll up to win, and outdoor digital menu boards as important avenues for growth. We are excited to now have loyalty programs at all three of our brands in their home markets. We follow a three step approach in our roadmap for these programs. First, build awareness and enrollment. Second, focus on active user engagement and third, drive frequency check and profitable sales.  In our view, it is critical to succeed with steps one and two in order to successfully execute step three and drive long term growth across the business. We've seen the early impacts of this roadmap at Tim's where our program is in the third chapter of its story. Tim's rewards in Canada represents the majority of the brand's digital sales, and has seen growth in users and engagement over the past 16 months. During the second quarter, the Tim's app in Canada surpassed all competitors capturing and holding the number one position in monthly active users for food and beverage. A few months ago, we discussed the powerful impact that are all digital roll up to win contest head on engagement. With the contest now in the rearview mirror, we are encouraged to see that it created a strong halo effect with the Tim's Canada business sustaining its new baseline of digital sales of over 30% and with registered users representing over 75% of digital sales. We continue to see Tim's rewards driving check and traffic and most importantly, contributing positively to comparable sales. And as we continue to learn more about our guests, we're able to create more personalized offers and encourage incremental visitation and spending, fueling the digital flywheel. For example, if a member visits a store three times a week in the morning for a double-double, we can offer them a buy one get one if they return that same day in the afternoon for one of our quenchers. At Burger King and Popeye's we are still on the first chapter of our loyalty story and remain focused on ramping up each brands program in the coming months. With the next step coming up BK as real perks expands from mobile order only to in store service modes in the second half.  Enrollment for each program has been encouraging thus far and overall customer satisfaction is strong. We're excited about the incremental possibilities of our loyalty programs, allowing us to connect with our guests and drive sales to our restaurants. Across all three brands our outdoor digital menu boards are another great example of a technology investment that drives results and touches our key focus areas within digital. We remain committed to modernizing the drive-thru experience with these menu boards that are 10,000 plus North American restaurants by mid 2022, including nearly all Tim Hortons Canada drive-thrus by year end 2021. They are more efficient for the restaurants, create a better and more streamlined guest experience, and allow us to better utilize data which will enable us to improve the effectiveness of our suggestive selling as our learnings build over time. We have already observed an uplift in comparable sales from outdoor digital menu boards as compared to static outdoor menu boards. In addition, we're seeing encouraging early results on our suggestive sell models, which will improve with usage and scale and our focus on enhancing our algorithms. One such enhancement was a recent improvement in the way we utilize weather data in the model, which, for example, has benefited our beverage sales by furthering our ability to dynamically recommend a cold beverage on a hotter than expected morning or a hot beverage on a cooler afternoon. Our model also proactively recommends one of the top five most popular items rather than just the top item, giving our guests a new item to try when they visit.  In conclusion, our technology focus continues to be centered around knowing our guests and owning the relationship with them, which in turn allows us to provide better service through a personalized enhanced experience. We believe these efforts will drive increased traffic check and brand loyalty over time. I'll now pass the call over to Matt.
Matt Dunnigan: Thanks, Josh. And thanks everyone for joining us this morning. Our global system-wide sales for the quarter increased roughly 32% to $8.9 billion and our adjusted EBITDA grew about 52% organically year-over-year to $577 million. Beyond the growth in system-wide sales there are a few factors contributing to our growth and adjusted EBITDA year-over-year. This includes benefits related to a sizeable shift in sales mix, driven by our recovery in sales and volumes attempts were in addition to franchise royalties we also generate EBITDA from property and supply chain activities. Also, as you may recall, last year, we increased our bad debt provision to reflect the increased risk environment around receivables and similar to last quarter we've continued to release some of those remaining cautionary provisions as the business continues to strengthen around the world. And finally, our year-over-year growth this quarter reflected the fact that we had a smaller differential between ad fund revenues and expenses during the quarter as compared to Q2, 2020 driven by continued improvements in our business as we lap the trough of the pandemic last year. It's worth noting that this year's ad fund expense included deploying a portion of the 80 million CAD support behind the Tim Hortons ad fund in Canada. As José mentioned, looking forward to the second half of the year, we have retained a majority of this investment to fully support our back to basics initiatives as the Canadian market continues to reopen. These benefits to our organic adjusted EBITDA growth rate were partially offset by higher G&A. As we have discussed during our last few calls, we're proactively investing in digital and technology as well as hiring across a number of key areas like marketing and operations. These investments are leading to a sizeable year-over-year increase in segment G&A, which will continue over the balance of this year as we invest behind our capabilities for the future. Now, turning to EPS. Our second quarter adjusted earnings per share of $0.77 grew at a higher rate than our consolidated adjusted EBITDA at over 130% year-over-year, including an FX benefit of about 15%. The higher growth was primarily driven by a lower adjusted effective tax rate, reduced share count, interest savings and lower equity based compensation. Our adjusted effective tax rate of about 11% this quarter included discrete non-cash benefits such as net reserve releases for certain prior tax years, which reduced our adjusted effective tax rate by approximately 6% as well as excess tax benefits from equity based compensation that we realized during the quarter, which reduced it further by approximately 1%. It is also worth noting that equity based compensation decreased quarter-over-quarter to $20 million from $26 million last quarter primarily related to forfeitures of long term incentives specific to the quarter. For the balance of the year we currently expect equity based compensation to ramp up to slightly above first quarter levels related to our commitment behind investing in our people for the long run. Now turning to our capital structure, while the impact of COVID last year did result in a step up in our leverage levels, we've seen that trend reversing with our business largely back on track. As José mentioned, we have an incredible cash flow profile and during the quarter we generated nearly $450 million in free cash flow. The strong free cash flow coupled with a roughly $220 million sequential increase in LTM adjusted EBITDA contributed to a sizeable decrease in our net leverage ratio to 5.3x from about 6x in Q1. We also took advantage of favorable market conditions to refinance the $775 million of outstanding principal on our 4.25% firstly notes due 2024 with an add on to our existing three and seven eighths firstly notes due 2028 effective in July. Over the past three years, we have opportunistically refinanced our entire capital structure, meaningfully reducing our interest expense by roughly $100 million annually and extending maturities such that a vast majority now fall beyond 2026.  In terms of liquidity, we ended the quarter with about $2.8 billion available, including nearly $1.8 billion in cash and about $1 billion of undrawn revolver. Between our current liquidity and the robust free cash flow conversion of our business, we're in a good spot to continue driving our long term capital allocation strategy which since 2015 has included returning nearly $6.5 billion to shareholders through approximately $4.9 billion of dividends and $1.6 billion in share repurchases. With all our decisions, including capital allocation, we take a balanced approach with the goal of maximizing value for our shareholders over the long run. We prioritize reinvesting in our business in a thoughtful way enhancing shareholder returns through significant returns of capital and evaluating strategic opportunities that can drive step function value creation. Heading into the second half, as our visibility on leverage and performance continues to improve we will be considering alternatives for the excess cash flow that we build beyond the targeted investments we're making back into the business. On this front, as José mentioned, we announced this morning a continuation of our dividend into Q3 With another $0.53 per common share and partnership unit, keeping us on track for our full year target of $2.12 per share in 2021 and maintaining our industry leading dividend yield. We also announced this morning that our board of directors approved an increase to our open market buyback authorization from $300 million to $1 billion over the next two years. Buybacks have been a valuable tool for us historically, with nearly $30 million units repurchased since 2015 through partnership exchanges. And going forward, we expect they'll continue to be a meaningful lever given the strength of our cash flow generation and intend to use this increased authorization to buy back shares in the open market. Having said that, our primary focus for the second half and beyond remains on driving the core business and delivering on the exciting organic growth potential we see globally for all three of our iconic brands. With that, I'd like to thank everyone again for your support. And we'll now open the line for questions. Operator?
Operator: Thank you. We will now begin the question and answer session.  Our first question comes from Patricia Baker with Deutsche Bank. Please go ahead.
Patricia Baker: Thank you and good morning, everyone. José, I really appreciate your discussion or identification, rather of what you believe the issue is with Burger King in the U.S. and the five focus areas that you've identified with respect to one of those, which is the image transformation and the upgrade of the  network in the U.S. Can you tell us where you are on that journey and what the pace of that network upgrade will be over the course of the coming years?
José Cil: Hi, Patricia, thanks so much for the question. The images and transformation of the image on an ongoing basis has always been an important part of the business obviously in QSR with a brand as well known and penetrated and with the legacy and heritage that BK has. It's very, very important. And it's an ongoing process. We launched our Burger King of tomorrow image and transformation initiative several years ago. And we've made good progress against that. We're seeing investments from our franchisees as well as from the company and the brand for transformation of restaurants and drive-thrus in particular, integrating digital into all the restaurants and then upgrading the image of the restaurants in the interior as well as in the exterior which is critical for curbside appeal. And we're moving at a good pace. I think we've made some good progress on that. But I think we can go faster. And it's one of the things that our teams are considering and contemplating and working with franchisees, working on higher return on investment, remodels especially focused on drive-thru and double drive-thrus where we think there's an opportunity to drive increased capacity and throughput in our drive-thrus and integrating technology they're in. And so we've started that process with outdoor digital menu boards, that's going well with Burger King and we continue to review and see if there is opportunities to go faster and as we do that analysis and assessment will keep you all posted on how and when and what we'll do to accelerate that. So thanks so much for the question.
Operator: Our next question comes from Dennis Geiger with UBS. Please go ahead.
Dennis Geiger: Great. Thanks for the question. And José for Tim Hortons down mid single in July across Canada is certainly an encouraging recovery trajectory. It seems to suggest that your strategies are resonating particularly as mobility increases. I just first wanted to clarify the comment you made about down single digits in over 19 in July, was that specific to all provinces individually or both within that range and then more importantly, the question is just kind of curious if there's anything else that you can break down on the Tim's performance as it relates to how the system is directly impacted by pandemic factors as we tried to assess the strength of the brand isolating that impact. So if there's anything sort of on central businesses or locations, how to think about that drag anything on that front if you're able to kind of give some color. Thank you. 
José Cil: Right, thanks for the question, Dennis. Well, as I mentioned, we're really excited about the progress we're seeing with Tim's we're making progress on brand perception, guests experience. Food quality ratings are improving as well year-over-year. And we're focused on executing the back to basics plan with quality improvements that fresh crack DAGs. And some of the new launches like cold brew and clenches are really important. I think that to your specific question, as one of the things that was really encouraging about the quarter kind of moves through June and we see it continue in July is that as things reopened, we're moving in the right direction. And we see positive indicators in the business sequential. We saw sequential improvement on a two year basis for same store sales of three points. Transit scores improved steadily towards the end of the second quarter. Ontario, which is where we have nearly half of our restaurants was the last to begin exiting the stay at home orders. I think there's a lot of the folks on the call and listening in don't really understand the nuances between what's happening in Canada and in Ontario in particular versus what's happening here in the US. With the Ontario exited stay at home orders on June 2 on June 11, outdoor dining and retail stores open on June 30. It increased outdoor seating and retail store capacity. On July 16, indoor dining with social distancing, which is quite about a year spread between what's happened in the U.S. versus what's happening in Ontario. And here's a stat I think that will give you all a better idea of how just how lockdown Ontario has been today, which is July 30, 2021, the Toronto Blue Jays baseball team are playing their first game in Toronto since 2019. They've been playing their baseball games in Buffalo for the last couple years. And we're by the way, really happy to see Vladimir Guerrero Jr. and the rest of the team back in Toronto and in the Roger Center, because it really means that things are beginning to open up there and that's a huge indicator for us in terms of mobility, which is a key driver of the business. Ontario improved to negative single digits in the final weeks of the quarter. And in the first few weeks of July. We've seen continued recovery in Ontario in line with the other regions. And to kind of cross reference to the other provinces. We've seen the other provinces performing better because things have opened up a lot sooner in those provinces. So all indicators as we look today in July, provinces are now across the country in negative single digits compared to 2019. It's not the only thing we're focused on, we're focused entirely actually quite a bit on our plan. We still have a lot of work to do. We still have quite a bit of firepower in our marketing ad fund, as Matt mentioned in his comments for the back half of the year. So we're really excited to continue to drive the plan and continue to work with our owners to be prepared for this reopening of Canada, in particular Ontario in the coming months and quarters. Thanks for the question. 
Operator: Our next question comes from John Glass with Morgan Stanley. Please go ahead.
John Glass: Thanks very much. I wonder if I could just follow up on Tim's. José you said you're taking share in the current quarter. It's hard for us to benchmark Tim's versus peers. Do you think you are outperforming the morning day part just generally in the markets and you could talk about it market by market or overall? And if you think back whatever it is five years where does your share and breakfast stand today versus that if it was a peak? Are you at new peaks? Are you below but you're now improving? How do we sort of frame where your share has gone over time and where it is today? 
José Cil: Yes. Thanks so much John, for the question. As I mentioned, we have seen solid movement in share in cold beverages, iced coffee, breakfast as well. And a lot of that we believe based on the consumer feedback and brand perception ratings that we track regularly is tied into the progress we're making on the quality improvement of the food and the beverages as well as how we're communicating them and the connection or the reconnection that we're making with our communities all across the country. So we think it's very much an output of the work that we're doing. In some cases, in particular with breakfast, I think we've had a sizable share of the breakfast business, given our penetration and the frequency that we have, especially due to the coffee but as I mentioned quite a bit over the last many quarters and probably over the last couple of years. The research that we had done and the feedback we were getting from our consumers is that the decisions that people were making to come to Tim's were driven mostly by beverage, but if someone was deciding to go somewhere for breakfast for food, we weren't really at the top of the consideration list. And so our share on food in particular for breakfast wasn't as strong as it should be as it could be as compared to our share for beverages. And so the benchmark is where we've been we've seen progress against that. Obviously COVID had an impact on share especially during the height of it through 2020 and into the early part of 2021 which was it what gives us confidence is that we're chipping away at that, and making really good progress versus where we've been. So we're excited about the share improvements, which are leading indicators of the ability to grow in this important market for us. Thanks so much for the question. 
Operator: Our next question comes from David Palmer with Evercore ISI. Please go ahead. 
David Palmer: Thanks. So just a quick one on Tim's loyalty. And then just follow up on Burger King. The loyalty program at Tim's was launched back in 2019 and I know that was a tough start where it was not the digital one that is today. You mentioned doubling the loyalty mix there. Could you give an update as to what that mix is running out today? How much of a step up is that? And as you're lapping, as we think about two year trends, or and even into 2022 we'll be thinking three year trends versus 2019. I'm wondering how much loyalty can be a lift particularly versus that rough start to the loyalty program when it was a more of a punch card situation. And then following up on Burger King U.S. It sounds like you're moving towards a premiumization strategy, reemerging renovation product and assets. I'm wondering that feels longer term in nature. But I'm wondering if your how you're thinking about maybe shorter and medium term type jolts you can give to sales. And thank you. 
José Cil: Great, thanks so much for the questions. David. I'll have Josh touch on the Tim's loyalty and then I'll take the BK U.S. question. 
Josh Kobza: Yes, thanks. Good morning, Dave. Thanks for the question on loyalty. I would say first of all, we're really pleased with the progress that we've made on loyalty in Canada with Tim's rewards. I think the team has done a fantastic job evolving the program over time and making it really engaging and really compelling to our guests there. We had a big success with the roll up to win contest and the first half of this year and we succeeded, I think in getting many more guests engaged in the program and also in terms of driving behavior and engagement on our app with our existing Tim's rewards members. So we're really pleased with the thoroughness and the quality of the work that Tim's doing and how well it's resonating with our guests. Specifically to your question on where the program is I think we mentioned in our earlier remarks, that our digital sales are over 30% of sales now at Tim's, and our loyalty sales are the majority of that. So it's a very large chunk, and it's grown very significantly year-on-year. And with respect to the last piece of your question on where we go in 2022, I think our goal is to continue to grow the program and particularly more to make it even more engaging to expand and have all of the excitement that we can bring with the program and what we can offer to our guests to make them even more excited about engaging with the Tim's brand more often. And to find more ways to visit our brand and engage with the brand every day. I will turn to  for the BK question.
Unidentified Company Representative: Great. Thanks Josh. David, on the second question on BK U.S. I wouldn't say it's a premiumization plan. I think it's a it's a plan that's kind of I am emphasizing focus and pace. I think the challenge we've talked quite a bit about the BK business in the past. And we're at our best when we have a balanced approach with a strong focus on core with premium products that drive check, but at the same time having a balanced approach on value that continues to be the long term view in the business. I think where I've seen the opportunity in the near term as I spend time with the team and speaking with franchisees and getting a better handle on what opportunities for acceleration we have, I think we can drive acceleration with a lot more work on the brand image and further improving return on remodels and new build. I think there's an opportunity on many platform with focus on breakfast, premium and value. I think there's a bunch of work to do in partnership with our franchisees on operational consistency. I think we have a tremendous opportunity especially as we grow our digital business and integrate that into the restaurant experience both in store as well as off premise to the drive-thru and through delivery. And obviously digital being a huge focus for us and then finally, I think the communication side of it, we've had a, I think we've been a bit mixed in terms of our execution on our brand communications. We spent a lot of time on price driven communication and I think we have a lot more work to do on cut through brand and high quality messaging around the quality of our products. So that's the focus, I wouldn't call it premiumization only. It's all about balance. But it's been mostly about focus and pace and moving fast and the things that we think are fundamental to driving growth in the QSR industry especially in the U.S., and that we know we're very capable of doing. Thanks so much for the question.
Operator: Our next question comes from Jeffrey Bernstein with Barclays. Please go ahead.
Jeffrey Bernstein: Great, thank you very much. Two questions for you. One José on the growth side of things, just as we think about the 5% plus worldwide unit growth Seems like you're confident you can hit that in ‘21. My guess is there's some help from what was a pause for the most part in 2020 helping the backlog in the pipeline. So I'm just wondering beyond 21 whether you think you're now at a steady state where you can resume that north of 5% Just wondering whether there's any issues with supply or construction delays or labor perhaps that might pose a challenge. And then my follow up with just for Matt on the cash usage. You mentioned in your prepared remarks, you'd consider alternative uses of excess cash, wasn't sure whether that was exemplified by the dividends and the share repo solely or whether it has potential maybe to co-invest with franchisees and I know you mentioned trying to accelerate, whether it's remodels or digital menu boards or any other uses for excess cash that you might consider due to your strength and balance sheet. Thank you. 
José Cil: Hey, Jeffrey, thanks so much for the question. I'll take the one on unit growth and then I'll pass it over to Matt. As I've mentioned several times, we have, we feel really good about the progress we're making with the pipeline and our prospects for development. We have focused, we've said two things in the past. One is that we felt confident we can get back to pre-pandemic levels of growth in 2021 and I think the first half so far, has invalidated that view that we've got really good partners, really healthy pipelines, a lot of interest and excitement about growth, even more so after the impact of the pandemic because people believe much more so in the power of the business in the most difficult of moments. It's resilient and generates positive cash flow and so we specially given our off premise and digital capabilities. So our partners are really excited about and we see the momentum building in our pipelines and obviously the results for the last two quarters speak for themselves. We have a lot of excitement with all three brands. I think what's also exciting about the long term is that we're beginning to see the U.S., Canada as well as international pipelines get going on the BK side. But we're beginning to see a strong movement with Popeye's and Tim Hortons internationally, which we hadn't seen before. And so we had record quarter, second quarter for both Popeye's and Tim's from an international growth standpoint. Popeye's in the U.S. also accelerated in the second quarter from a development standpoint. So we still are very confident in our ambitions to reach the 40,000 restaurant goal that we set for ourselves back in May of 2019. There's a big gap that remains to some of the bigger competitors out there in many markets even markets where we have strong presence already. I think in larger, more penetrated urban markets where we have a decent presence with Burger King in particular and by the way, there aren't that many of those. But even though we still have tremendous opportunities with new formats, delivery only with pickup as well. There is a lot of different opportunities for growth here, especially given the expansion of our service modes, including off premise, drive-thru and delivery. As I said, I think Tim's and Popeye's are early days earlier than Burger King. And we're seeing strong momentum there excitement from new operators and partners to invest in the brands and an acceleration in terms of the investments and the growth that they're delivering in their markets. So we feel confident about the long term and are very focused in the short term. There are challenges, certainly in terms of supply chain especially in the equipment side as you kind of included in your question. But we have really good relationships with the equipment, suppliers and vendors and we're working closely with them to ensure that we can continue to deliver what we have in front of us and that's the work that we do and we're happy and excited to keep you posted on our progress.
Matt Dunnigan: Hey, Jeff it's Matt here. Thanks for the question. As it relates to capital allocation, I think we've been really pleased with the performance and progress of the business and the recovery that we've seen. I think we believe we have an incredibly healthy cash flow profile. We've seen the balance sheet improve as well along the way as we mentioned with our leverage coming down quite a bit this quarter. So we feel really well-positioned in terms of our balance sheet, our cash flow generation, as well as our liquidity in terms of our shareholder return potential and the capital that we can return to shareholders over time. As I mentioned in my prepared remarks I think we have a significant allocation toward our industry leading dividend and as we continue to see the business improve and the balance sheet improve that's really what gave us confidence here to reset our authorization and upsize that from 300 million to a billion dollars and I think this new program reflects a level that we think makes sense for our business and a really great launching point for us to start working actively an open market in terms of repurchases and returning capital to shareholders and adding open market repurchases to our toolset. We also are very balanced and we invest behind the brands already. You mentioned BK José, talked about this before, I think José is just getting into laying out the plans with the teams in terms of what our focus areas are going to be. But if you look back historically we've always been investing in the BK business as well as Tim's and elsewhere, in terms of remodels that we put towards our property control and where we're involved in the property as well as investments here internally and people to help support the plans and drive things forward. So I think when we consider any kind of investment all goes back to our capital allocation approach and to the extent there's additional investments that could be worthwhile. This drive strong returns for both us and our franchisees and our systems. We'll evaluate those and share them in due course. Thanks a lot for the question. 
Operator: Our next question comes from Jon Tower with Wells Fargo. Please go ahead. 
Jon Tower: Great. Just coming back to the Burger King U.S. conversation. I'm just curious and thanks José for kind of going through some of the pace, conversation and focus earlier. But I am curious from your perspective, how much of the kind of sales underperformance or slow return to pre-pandemic levels relative to the competition do you think is controllable versus non-controllable? That is in terms of controllable, I would view staffing levels at your stores, product marketing, operational execution versus non-controllable, which is competitors just getting more aggressive with marketing, new product news and promotions. If you could just kind of comment on that. That'd be great.
Josh Kobza: Yes, Jon thanks for the question. Look the industry has been competitive for a long, long time. So it goes back to the burger wars in the 80s and even before that. So we feel that the opportunity for acceleration, the focus is all about focus and pace and it's entirely within our control. And I think our franchisees believe the same thing or teams believe the same thing. So it's all within our control, and certainly a lot of work to do on staffing and retention. I think everyone's dealing with these challenges. And we're working hard with the franchise partners to ensure that they have the ability and they've put a lot of effort behind this as well since it's something that they control entirely. We were working with them closely on that. I think the bigger work in front of us is what I laid out earlier in my prepared remarks and on top of that with focus and pace. I think we have a really strong team with Burger King. We've added some top talent in the organization in marketing as well as in operations and the team is beginning to gel together, putting a really strong plan in place working closely with the franchisees and I'm confident that it's all in front of us all within our control. And it's just a question of executing at the highest levels which we know we're very capable of. So we're excited about where we are and looking forward to sharing our progress in the coming quarters. Thanks so much.
Operator: The next comes from Gregory Francfort with Guggenheim Securities. Please go ahead.
Gregory Francfort: Hey, thanks for the question. José, I think a couple questions ago you were talking about the acceleration in Tim's international on the unit side. Can you talk maybe specifically about China? I think you have a couple of 100 stores in the ground there now and what either the returns are looking like or what the markets look like and is there a pace of development on China specifically, do you think makes sense to balance taking advantage of the opportunity long term with operational complexities. I'm just trying to get out where that might accelerate you on a pace of development. Thanks.
José Cil: Hey, Greg, thanks for the question. Yes, like we went from zero in 2019, February 19, to 200 this first quarter of ‘21 with a commitment from the team there to take to double the size of the business to go from 200 to 400 in the full year of 2021. My view on this is that the business is super exciting, the brand is resonating well there. The product in particular our beverage lineup which is expanded and really high quality at a great value with tremendous digital focus is striking a chord with the Chinese consumer. And so we feel confident about the short term being able to grow at the pace that the team has communicated. And I feel very confident about the long term. It's a great market, coffee consumption is on the rise, double digit growth, a former tea market only now it's becoming a high consumption coffee market. And so we're really well-positioned in the market to do some great things. I always tell our franchise partners to go faster. But we want to do it the right way, the right image, the right technology, focus, the right quality of our products, the right execution. But the pace of growth in the near term has been exciting. And we have a great team there led by Yong Chen, who's been a partner of ours for quite some time. So we're excited about the opportunities in China, we continue to work closely with the team there and look forward to sharing the progress as we keep growing the brand in 2021 and well beyond that. Thanks so much for the question.
Operator: This concludes our question and answer session. I would like to turn the conference back over to José Cil for any closing remarks.
José Cil: Great, thanks to everyone for joining us this morning. We're pleased with the progress we've made this quarter, including driving strong growth and development keeping us on track to reach our long term target of 40,000 restaurants globally. We remain committed to delivering high quality, delicious food and improving the experience for each and every one of our guests through our digital initiatives and commitment to operational execution. We know we have the right pieces in place to drive long term sustainable growth at all three of our brands and build the most loved restaurant brands in the world. Have a great rest of the day and stay safe. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.